Operator: Good day, ladies and gentlemen. And welcome to the Gordmans Stores Incorporated Third Quarter 2014 Earnings Conference Call. My name is Shannon, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. We will be conducting a question-and-answer session at the conclusion of today’s presentation. [Operator Instructions] I would now like to turn the call over to your host today, Brendon Frey of ICR. Brendon, please go ahead.
Brendon Frey: Thank you and good afternoon. Before we begin, I would like to remind everyone that the information contained in this conference call, which is not historical fact, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC and our earnings release. I’ll now turn the call over to Andy Hall, Gordmans President and CEO.
Andy Hall: Great. Good morning, everybody. Thank you for joining us to discuss our operating results for the third quarter and the first nine months of fiscal 2014. On the call with me today is Mike James, our Chief Financial Officer. I will provide an overview of the third quarter performance. Then Mike will present our financial results for the quarter and the first nine months for the fiscal year in more detail, as well as discuss our guidance for the fourth quarter. I will then be back and speak briefly about some opportunities and risks in the fourth quarter, and touch on some 2015 business themes. We will conclude by answering any questions that you may have. Before we get started with the quarter’s performance, for those who didn’t have a chance to see the release last night, I would like to announce that we have hired our new Chief Market -- Merchandising Officer, Lisa Evans, who has a traffic track record at the senior merchandizing level a number of retailers, including May Company, Macy's and Carters. She has accepted the CMO position. We will be transitioning over the next month. I have had the opportunity to work with Lisa in the past and I have to tell you -- I can’t tell you how fortunate we are to have her leading our merchandizing efforts. Moving on to the quarterly performance, we had another challenging sales quarter, as comp store sales declined 7.8%. Most of our third quarter sales challenges were within our control, with October weather being a notable exception. We struggled flowing merchandize through our newly opened distribution center. These struggles touched many areas of the supply chain, including the workload of effectively doubling the volume of purchase orders that we had to write, adding days to flow from vendor to the city as more shipments had to be consolidated and training our new distribution center workforce during the peak receiving window. The end result was merchandize not getting the selling for timely throughout the third quarter, and expense and efficiencies in doing so. However, by mid November, we are at our peak inventory ownership on the selling floor and that’s one full week earlier than last year. As we mentioned in our earnings release, we incurred a 2.5 percentage point comp penalty during -- due to our reduced clearance levels. Certainly, some of the clearance sales shortfall shifted to regular price goods, but not all. While this hurt our third quarter sales that helped our third quarter margin rate and we will also help our fourth quarter margin rate. Our sales performance was uneven across merchandise areas. On the bright side, our missy business had a low to mid single-digit increase for the quarter. On the other hand, home décor around negative double-digit decrease due to cutting inventory too aggressively and various assortment challenges. Our October was significantly impacted by this year's warm weather compared to last year’s record cold October. We suffered through October with the negative double-digit comp. Our gross profit rate decreased by 38 basis points and we had negative impact to the rate due to a couple of things, an increased inventory shrink accrual, a change in how we bought Black Friday Doorbusters. This year we bought specific merchandise with a short markup, which receded in the third quarter versus taking existing merchandise and repurposing it as a doorbuster last year with the POS markdown, a continuation of this year's lower initial markup that we have seen throughout the year and a lower markdown rate, principally from permanent markdowns, offset a portion of the aforementioned negative impact to gross margin but not all. Despite the third quarter sales performance and logistics inefficiencies, we are excited about the opportunities. Our inventory position will forward us leading into the fourth quarter. We are at a selling four peak inventory levels as of mid-November, four week earlier than last year. We are seeing the benefit for that. Our inventory currency is drastically improved versus last year with 76% of our goods less than 60 days old versus 67% last year. Overall inventory is down 9% on a comparable store basis and that includes the Black Friday Doorbuster specifically bought for the event. We have a number of businesses in addition to the entire missy division that ran our third quarter positive comp and have momentum as we entered the fourth quarter, including men’s bottoms, men’s activewear, big and tall, young men’s bottom, junior related, plus sizes, jewelry, toys, pet, bath, bedding and wall décor. From a new store expansion perspective, we remain confident in the scalability of our business model across new and existing under penetrated markets throughout the country. As we mentioned in our earnings release, six of the seven new stores opened in 2014 are performing in line with their plan. During the quarter, we opened a new store in Tyler, Texas. Texas represents our 21st state. We opened six new stores in the first nine months of the year and relocated an existing store. We have also closed two underperforming stores this year and will likely close a third store in the fourth quarter. Excuse me. At the end of 2014, we expect to operate 97 stores. Mike will now present more detail of our financial results for the third quarter and the first nine months, as well as our guidance for the fourth quarter. Mike?
Mike James: Thank you, Andy. Before I begin with financial results, I wanted to note that on November 14th, the company amended its $45 million senior term loan and its $80 million revolving credit facility, and paid down $15 million on the senior term loan using borrowings from the revolver under which the company continues to maintain significant excess availability. The pay down will cause acceleration of a portion of the debt issue costs associated with the senior term loan, that will have a $0.01 per share impact on fourth quarter earnings, But in fiscal 2015, the interest savings will be approximately $800,000, or approximately $0.02 per share. Moving on to third quarter performance, net sales for the third quarter of fiscal 2014 decreased $4.7 million, or 3.1% to $147 million, as compared to $151 million in the same period last year. Comparable store sales decreased 7.8%, due primarily to a decrease in comparable transactions. The comparable store sales decrease was partially offset by sales from seven new stores opened in the last three quarters of fiscal 2013 and the six new stores opened in the first nine months of this year, including the opening of a one new store in the third quarter. For the first nine months of the year, net sales increased $11.2 million, or 2.7% to $431 million as compared to $420 million last year. The increase was due to the 10 new stores opened last year and the six new stores opened in the first nine months of this year. Comparable store sales for the first nine months of fiscal 2014 decreased by 5.9% also due primarily to a decrease in comparable transactions. Gross profit, which includes license fees, decreased 3.9% to $64.4 million and license fees from leased departments were $2.3 million for the third quarter, compared to $2.2 million for the same period last year. Gross profit margin was 43.9% for the third quarter compared to 44.3% last year, a 38 basis point decrease, driven by lower initial markup on merchandise and higher shrink and inventory obsolescence reserves. For the first nine months of the year, gross profit increased 1.2% to $188 million and license fees from leased departments increased 10.2% to $6.4 million. Gross profit margin was 43.5% for the first nine months of fiscal 2014, compared to 44.2% last year, a 62 basis point decrease due to a lower initial markup, higher markdowns taken in the second quarter to clear aged merchandise and higher promotional markdowns associated with our loyalty rewards program which was launched in May 2013. SG&A expenses for the third quarter were $66.5 million, or 45.3% of sales versus $64.6 million or 42.7% of sales in the prior year, a 266 basis point increase. As a result of the deleveraging caused by the comparable store sales decrease, store level expenses increased by a 123 basis points primarily due to higher occupancy cost, as well as a $300,000 loss on retirement of store fixtures. Distribution center expenses increased by 59 basis points due to additional fixed costs associated with the second distribution center and increased by 47 basis points due to higher processing expenses, due to both internal and external logistics inefficiencies, especially in our new distribution center. In addition, depreciation expense increased 76 basis points due to increased property plant equipment additions, including the second distribution center and the new corporate headquarters. Advertising expenses increased 54 basis points due to a lack of sales leverage and a decision to direct additional marketing expenses towards new stores opened in 2014. Corporate expenses decreased by 32 basis points. Pre-opening expenses decreased by 58 basis points due to the opening of one new store in the third quarter of fiscal 2014, compared to three new stores in the same period last year. SG&A expenses for the first nine months of the year were $193.3 million, or 44.9% of net sales versus $175.8 million, or 41.9% of sales last year, a 297 basis point increase, driven primarily by a lack of sales leverage, which accounted for a 93 basis point increase in store level expenses, a 75 basis point increase in distribution center expenses and a 59 basis point increase in corporate level expenses. Distribution center expenses included additional fixed costs associated with the second distribution center, as well as higher delivery and payroll expenses. Our corporate expenses also included certain non-recurring costs related to the retirement of two former executives and the hiring of our new CEO. In addition, depreciation expense increased 54 basis points and advertising expenses increased 23 basis points, due to a lack of sales leverage and additional expense allocated to 2014 new stores. Interest expense for the third quarter was $1.4 million, compared to $900,000 for the same period last year and for the first nine months of the year was $3.9 million, compared to $1.1 million for the same period last year. The increase in interest expense was primarily driven by the interest on the $45 million senior term loan we entered into in late August 2013 to partially fund the special cash dividend paid in September last year. Our combined federal and state effective income tax rate for the third quarter was 45.7%, compared to 30.7% for the third quarter last year, as a result of the catch-up adjustment to arrive at our estimated effective tax rate for the fiscal year. This was due to the impact of federal tax credits in both periods, which increased the tax benefit for the current year and decreased tax expense in the prior year. Our income tax rate was 40.5% for the first nine months of fiscal 2014 and 36.3% for the same period last year. The net loss for the third quarter of 2014 of $1.9 million compares to net income of $1.1 million last year. The diluted loss per share was $0.10 for the quarter based on 19.4 million weighted average diluted shares outstanding, which fall within our guidance range of a loss of $0.11 to $0.07. And also included a $0.02 per diluted share impact from non-recurring expenses related to a loss on retirement of store fixtures and certain non-recurring compensation related expenses. The catch-up tax adjustment resulted in a benefit of a $0.01 per diluted share. Diluted earnings per share were $0.06 in the third quarter of fiscal 2013 based on 19.4 million weighted average diluted shares outstanding. The net loss for the first nine months of fiscal 2014 of $5.8 million compares to $5.3 million of net income last year. The diluted loss per share was $0.30 for the first nine months of fiscal 2014 based on $19.4 million weighted average diluted shares outstanding, compared to earnings of $0.27 or 19.3 million shares outstanding of last year. I’d now like to turn to our balance sheet, cash and cash equivalents at the end of the quarter increased by 33% to $12.4 million, compared to $9.3 million a year ago. Inventory was $150.4 million at the end of the quarter up 1%, compared to $149.3 million at the end of the third quarter last year, which represented a 9% decrease on a comparative store basis. Our working capital was $25.8 million, 45% lower than at the end of the third quarter last year. We had $5.8 million of borrowings outstanding on our $80 million revolving line of credit at the end of the third quarter and we continue to have significant availability under the facility. With respect to forward-looking guidance, we're projecting fourth quarter fiscal 2014 net sales to be between $198 million and $202 million, which reflect a mid-single digit comparable store sales decrease versus a 7.4% in comparable store sales decrease incurred in the fourth quarter of last year. As a result of our successful efforts to address our inventory content by clearing out aged merchandise in the second quarter and our current inventory level and content, we expect a 40 to 60 basis point increase in gross profit margin compared to the fourth quarter last year. We expect additional selling, general and administrative expenses related to depreciation and expenses associated with company’s second distribution center that opened in the second quarter to result in some deleveraging in expenses. However, a thorough review of our expense structure resulted in cost savings from plan in the third quarter that will continue into the fourth quarter. As a result, we project diluted earnings per share for the quarter to be between $0.03 and $0.08 using a weighted average diluted share count of approximately $19.4 million, which includes a penny related to the write-off of debt issue cost associated with the $15 million pay down of senior term debt that I mentioned earlier. This compares to earnings of $0.14 per share in the fourth quarter of fiscal 2013 also using a weighted average share to count of approximately $19.4 million. I would now like to turn the call back over to Andy.
Andy Hall: Thanks Mike. I’d like to take some -- take a minute here to add some high level color to some of the fourth quarter advantages that we had the last year and some of the inherent risks in the fourth quarter. So I thought I would start with the advantages which I think do outweigh some of the risk. The weather has improved in November and Gordmans along with other retailers even hearing from is benefiting. Opening on Thanksgiving Day will put us in a much better competitive position this year. In addition, our merchandising approach to buying compelling specific Black Friday event Doorbusters should help drive traffic. Well, there are no guarantees our December business should benefit from going up against December winter storms last year. We have made significant changes in our marketing approach in December, including refining our coupon-strategies, strategy to eliminate deflationary practices, such as running a -- run coupons in natural high-traffic periods like December 22nd to 24th. Being more targeted with our e-mail promotions, direct-mail changes include eliminating duplicate mailings in December that we did last year, we are going to mail deeper into the file. We are acquiring a list to test mailings in November that’s 50,000 names that we acquired for November test and 200,000 names that we acquired for December test. And we are changing our circulation to the best guests across the chain versus even circulation by the store. We are adding promotional events such as the post-Christmas clearance event, which the company's really never played in that natural traffic and events in the past and we are adding a New Year's Day events. And lastly, our inventory position bodes well for sales and margin rates. So those are some solid fourth quarter advantages that we have over the last year. There are some inherent risks in the fourth quarter as well, such as this holiday season will be fiercely competitive, while we have done many things to become more competitive, we may not be immune to the macro-competitive environment. Weather is always a risk in the holiday season with our Northern Midwest footprint, even though we are up against favorable -- a favorable compared with last year's December storms. And lastly, January sales have a high penetration of clearance sales and as we are projecting significantly lower clearance inventory to last year. We do have a January sales risk. We have developed strategies however to mitigate this risk. We believe that the big picture advantages do outweigh the risk and support our view of the quarter sales should outpace our third quarter sales trend. And before we open it up for questions, I wanted to give you a little preview of some themes for 2015. We’ll address these in much more detail when we will report our fourth quarter results and provide 2015 guidance. But until then I thought you will appreciate a sneak peek. So, the first is continue evolving our marketing focus and that’s gong to -- what that means is to continue to weed out deflationary couponing, drive the loyalty customer, we’ve got significant growth in our loyalty customer, We need to drive that, drive our marketing and communication to that customer. Market promote around key shopping periods for example, Valentine's Day, Mother's Day, Father’s Day, Easter, et cetera. In between those key shopping periods, let the everyday value price format work as intended, which is you don't have to wait for a sale to get a great value. And then go after new guests in a bigger way. We need to continue to refine our approach and quite frankly, our spend in going after new guests and we’ll be evolving that in 2015. Second, we are going to have a new CMO on board. We are going to continue working on brands, merchandising initiatives and driving traffic with opportunity in off-price buys. Third theme is continued inventory control and her desire is to increase our turnover. To do that, we are going to have to take time in permanent markdowns to clear product in season and provide liquidity for new receipts. Fourth theme is going to be e-commerce. We’ve been building our e-commerce team. We have selected and signed contracts for our e-commerce platform, design and implementation consultant and the 3PL that we are going to use. And fifth and lastly control new store expansion. We are going to open five or six new stores over the first three quarters of 2015, including our first stores in Ohio. We are also reviewing the potential closure of one store. So, we’ll probably add to these themes. But we’re going to get into more detail on these at the end of the year, when we report fourth quarter and guide 2015. So with that said, we want to open it up for questions. So, operator, can you key up the questions?
Operator: [Operator Instructions] And we’ll take our first question from Evren Kopelman from Wells Fargo.
Connie Wang: Hi. You have Connie Wang on the phone for Evren. I just wanted to ask a question, maybe touch a little bit more in-depth on your merchandising initiatives. You guys have kind of outlined some strategies in the past couple of quarters that you are focused on. I was wondering if you can delve a little deeper into that and how are those going, if it’s the same kind of focus going forward and where you are versus where you want to be?
Andy Hall: Sure. Thanks Connie. So, I think last quarter, we talked about a few things. We talked about off-price. We talked about good, better, best assortments. We talked about basic versus fashion. So, I will give you a brief update on those and then, I may talk a little bit about some things we have going on here for Black Friday as well. So off-price, I think the key to understand on off-price and we talked about trying to drive more traffic and consistent traffic to the store with off-price buys, that’s clearly our goal. That's going to be an evolution versus a revolution. I think that’s important for everybody to understand. I think in the third quarter, we probably less than 3% of our business was probably what we return off-price. We are looking to fourth quarter as a pretty high volume quarter. So, I'm not sure where the percentage will land in the fourth quarter, but it's clearly on our list and we’re working on that. So, I think that continues. But again, it’s going to be evolutionary versus revolutionary and we’ll make sure that we do it right, present it on the floor correctly. I think from a good, better, best, assortment standpoint and pricing architecture standpoint, we have made some progress. I think that’s going to be a season or two where we transition to get to where we want to get to. But I do think that we made some progress in the third quarter for the good, better, best assortments. And again, for -- to refresh everybody's memory is that we -- in the past, we got a little out of kilter with having too much better and too much best in the assortment. And we kind of stepped away from the good and in merchandising term, we always like to talk about the triangle of good, better, best where the base of the triangle, the biggest piece is good. So we’re moving towards that. So we made progress in the third quarter on that. And basic versus fashion, which really entails a lot of things, I mean, you are talking about the colors, talking about fabrication, fabrication weights and silhouettes where again for everybody's benefit, we talked about, we got a little out of kilter where we got too heavy on the fashion and kind of stepped away from basic. So that’s going to be a season or two, transition as well. I think we made some progress in the third quarter probably not enough. But we made some progress and we’re working on that as well. I think one of the things that we’re going to be careful not to do is to ditch-to-ditch on any of these. And I think that's important. So we’re going to take a measured transition to both of those merchandising concepts out on the selling floor. I think some other things that we’re doing for fourth quarter that I think it’s going to be a beneficial, but I did mention in the scripts is and I touched upon a little bit in the script. So we’re going to be opened for Thanksgiving Day at 6 PM, that’s going to be a big win for us. We work -- this is the first time that we’ve opened. We clearly were at a competitive disadvantage last year by not being opened. While quite frankly our preference would not be opened for associate sake, clearly the guest has voted that she wants to shop on Thanksgiving Day. So we made a decision to be open on Thanksgiving this year. We also changed our merchandising approach to doorbusters on Thursday Thanksgiving and Friday, Black Friday, and Saturday after Thanksgiving. We’re on the past our doorbusters were merchandising that we already had on the shelves that we kind of repurposed in the doorbusters and ran them at a POS price on those days. And quite frankly that was a little lackluster in the eyes of the guests. This year's approach is we specifically bought doorbusters for Thursday, Friday and Saturday and those doorbusters were bought at a short mark whether they are going to be tremendous values. I hope everybody can hear me. There has been construction outside the building. We bought them at a short mark and their tremendous value. We think that they are going to drive traffic into the store. And I think that traffic driving that we’re going to do on Thanksgiving is going to be a big help for the rest of the season as well, because, I think, once you get the guest in the store and she sees the balance of the assortments, she will be making repeated trips before Christmas. And I think the other thing that she is going to see is she is going to see a store that is much more shopable than it’s been in the past. As we mentioned in the script, we’re down 9% inventory on a comp store basis. Our stores are tremendously shopable today versus a year ago. So I think that’s going to be a benefit for us as well. Connie, I hope that gives you some color to your question.
Connie Wang: Yeah. That was very helpful. Thanks so much.
Operator: And we move to our next question from Laura Champine with Canaccord.
Laura Champine: Good morning. I love to know more about Lisa Evans, why she has been hired and you’re excited about here and also is she moving to Omaha or will she stay put?
Andy Hall: She has already signed a lease in Omaha for a condo loft in Omaha. So I think she is probably going to keep a home. She is currently located in Atlanta. My guess is she will keep a home in Atlanta as well, but she will be on-site here in Omaha to take the range of our merchandising. I worked with Lisa in the past, she is a tremendous merchant, a great leader. She's got tremendous respect in the better community and the retail community. I think it’s a real clue that we were able to bring some of the Lisa stature and abilities on Board. I think also the other thing that I think is very important is that she grew up in the Midwest. She's got Midwestern values and understand the culture. And I think she is a tremendous fit from a style standpoint into our organization.
Laura Champine: Great. Thank you.
Andy Hall: Sure.
Operator: And we’ll take our next question from Neely Tamminga with Piper Jaffray.
Kayla Berg: Great. Good morning. This is Kayla Berg on for Neely Tamminga. Welcome Lisa first off. And then my question today is, just wondering if you could give us anymore color on those e-commerce initiatives? You mentioned that you’re building the team. Just wondering, color on maybe omni-channel mobile, what are your thought stay and how is Gordmans thinking about inserting themselves into that new digital search process as consumer spend more and more time on mobile devices?
Andy Hall: Yeah. So I can give you a little bit of color. I mean, we’re clearly started building the team. We've signed the contracts for the platforms and for the consultant that’s going to help us with the install. And we’ve signed the contract with the 3PL. Right now we’re our targeting mid 2015 launch for e-com. So obviously I think that to be a successful today in retailing you need to be omni-channel. So that's why we’re embarking on this and we’re excited about it. I think we got a walk before we run on the mobile and digital thesis, but we have got to get -- we are going to get side up and running. That’s going to be an evolution as well. So we -- as we got through year on building the assortment, that’s on the web. But that doesn’t stop us from playing in digital and mobile today, and we are doing that as well without an e-comm site. We also get a lot of traffic to our website today even though we don’t sell-off the web. We do a lot of webrooming and helping our customer understand what assortments are in the building and we know that our customer does a lot of research online before she shops in our brick-and-mortar stores as well.
Operator: And we will take our next question from Mark Altschwager with Robert W. Baird.
Mark Altschwager: Great. Good morning. And thanks for all the detail in the release and on the call so far. You talked about two specific factors that impacted the comp in the quarter. One, the lower clearance inventory and then some of the supply chain issues? I think you quantified the clearance? But how much did those supply chain disruptions impact the comp in Q3 and how should we think about the impact of both of those items just moving into Q4?
Andy Hall: Yeah. Great question and thanks for asking that. The clearance is a little easier to compute, because we, obviously, know what clearance sales were this year and last year. We don't really know how much transitions into the regular price racks. The flow merchandise is a little more challenging to compute. But let me just give you a little color on what’s going on. So three months ago we were talking about just going through the exercises of right-sizing our inventories. So we had reduced second quarter receipts by 17%. Had right-sized our inventory. So that, obviously, negatively impacted our sales in the second quarter and then one other things that we are looking forward to in the third quarter was flowing receipts, I think, we talked about roughly black versus the previous year. So when logistics and traffic issues on getting the merchandise flowing through the distribution center that was really critical to us in the third quarter, because we just come off in the second quarter, where we dropped receipts by 17%. The stores were start for fresh merchandise. So we clearly have an impact to sales. When we look at sales as it travel and we look at it on a two-year stack to take out the weather anomaly between last year’s October record cold and this year's October record warm. Our business got better as we went through them all. So September was better than August. Again, on two years stack, September was better than August and October was better than September. And clearly, that was related to getting the flow into the stores, our flow is better than October than it was, obviously, in August. So as we start to getting the merchandise into stores the guest reacted and business got better. Today, the great thing today is and what we expected is, by the time we got to the end of the peak flow here in November, getting the flow set for the holiday season, we got our peak inventory onto the selling floor of four-week earlier than last year, which is great. So and we are seeing the benefit of that this month in addition to the weather. So back to the napkin calculation for us is, you could make an argument between 200 and 300 basis points of sales impact during the quarter on the comp.
Mark Altschwager: That's very helpful. Thank you. And just a quick follow-up on inventory, where would you expect total inventory to be by year end and then where will this base inventory operating levels shake out on a per store basis, once all the pieces are in place the way you want them?
Andy Hall: Yeah. So, we are pretty much there on, making that transition in the second quarter. Maybe we went too deep in a couple areas of the building but on balance, we got the total inventory levels right by end of the second quarter and where we are today. At the end of the year, we are going to be -- obviously part of that will depend on how sales do during the fourth quarter. But our expectation is that end of year 2014, or beginning of year 2015, inventories are going to be minus 5 to minus 10 comps year-over-year. And then as we travel in the first quarter and second quarter, we will start anniversarying the inventory level adjustments in the second quarter. So, we'll get back to year-over-year comps that don’t look as drastic.
Mark Altschwager: Thanks and best of luck.
Andy Hall: Thank you.
Operator: And we will take our next question now from Bill Dezellem with Tieton Capital Management.
Bill Dezellem: Thank you. I want to continue on the inventory question. Relative to your optimal or desired level, both in terms of clearance, aging total inventories kind of all really, all aspects, would you characterize kind of your views today, again, relative to that optimal or desired level?
Mike James: Yeah. I think we are at a desire levels at a micro level. Obviously certain areas in the building can be tweaked up and down a little bit. But from a total company perspective, I think our aging is where we wanted. The level of inventory that's in the store is where we want it. Clearance is obviously lower than last year, that's a good thing. I know it. We are talking to it, as Bill, it’s about things because it's having a negative impact on sales in the third quarter. And January is maybe a little pressured with clearance being down, but we are working on things to checking back that. So, I think we are where we want to be. And I think we were where we wanted to be in the third quarter only because of the slow flow of goods to the selling floor. But now by early November, the inventories were supposed to be, which goes on the selling floor. It’s there sooner than it’s supposed to be, which was our expectation with opening the second distribution center. So, I think we're in a good place from an inventory standpoint.
Bill Dezellem: Andy, you had mentioned clearance being down versus prior year periods. Is clearance also at what you would consider the optimal level?
Andy Hall: I think clearance is at the optimal level. I still think we are -- I still think we're a little late in taking our permanent markdowns and I think that will still be evolutionary for us as we get into 2015. That’s one of the things I touched on in 2015 themes is that, as an everyday value price retailer, we need to make sure that we keep our inventories clean, take our permanent markdowns, so we can clear the clearance inventory in season. So, we want to clear spring summer and spring summer as opposed to trying to clear that in the fall. So, I think we are still maybe a touch late philosophically from when we are taking our perms and that’s something that we are going to continue to work on. We will get fixed in 2015. So with that said our, we may a little shy on the clearance levels that we should have, but we will -- that's a gray area as well so. But, I think, in general, we want to take our clearance marks earlier, so we can clear that product in season and have open to buy, add liquidity to buy fresh goods. And what that does is it increases the terms, because the terms that we should be operating at from an everyday value price retailer need to be higher than what we operated in the past. And that’s the whole reason we’ve gone through the exercise of reducing our inventory levels. So, that we can continue to flow goods. Receipts are what drive sales, not inventory levels. That’s the key concept. We talk a lot about that the last quarter. That’s still a very relevant topic. It’s the currency of the inventory and the receipts which drive sales. So that's why we like be in a position today where 76% of our inventory, it has been receded in the last 60 days as opposed to 67% last year. I hope that helps.
Bill Dezellem: That actually is very helpful. Thank you. And I’d like to continue down the inventory path. And I think in the press release, it made reference to the fact that you had lower initial inventory markup. And I think I also heard you say in your comments just made that over time you think that your margin should be higher with the type of business that you are. So the question is, what's the strategy behind that lower initial inventory markup that you referenced in the release this morning? And how does that relate to your longer-term thoughts that you want to increase the margin of the business?
Andy Hall: Yes. So, obviously, the retailers is all interconnected. So I will try and connect the pieces for you. So IMU in the third quarter was also impacted. So it was lower than last year. The first nine months of the year has our initial mark has been lower. Some of that is due to some of the good, better, best shifting that we've done. Some of it is related to mix. The third quarter was impacted by the short mark that we took on the significant buys for the Black Friday doorbusters. But with that lower IMU to be able to get to margins that are improving, we have to talk about the inventory as well. So bringing the inventory levels down, which is going to bring down the level of permanent markdowns and clearance markdowns that we have to take on excess inventory is where we’re still able to run a higher gross margin, even though we have a lower initial mark because we don't have that big slug of unproductive inventory that we have to take a hard mark on to clear out of the building.
Bill Dezellem: Thank you. It does. Thank you very much.
Operator: And we will take our last question from Richard Jaffe with Stifel.
Richard Jaffe: Thanks very much, guys. And on a different topic, the loyalty program and what seems to be -- what sounds like could be very effective tool to tighten that relationship up with your customers. Wondering how that's working what the penetration is and what the response rate is or any kind of metrics you can share with us?
Andy Hall: Yes. We will talk more about it at the end of the year, but I think it's important that we share some metrics with you now, because it is a tremendous asset for us. That loyalty program is the one that we need to embrace to drive traffic to the stores in addition to harvesting new customers. But our loyalty program, we reached 3.3 million guests on the loyalty program. If you look at the weekly sales that we’re doing currently, about 69% of the sales are coming from the loyalty card member. So it's a significant portion of our business and our marketing efforts are -- or changing our marketing efforts. So they were targeting that guest, that loyalty card guest to take advantage of that guest. Our statistics on her are fabulous. I mean, her, the number of visits that we get per year. Don't quote me on these, but 38% of that loyalty -- that loyalty customer shops us at least one time a month, so that’s 12 times a year and about 12% or 13% of that loyalty customer -- loyalty card guests shops us multiple times within a month. So we got 12% or 13% of our customer base on loyalty card that’s shopping us as frequently as 24 times a year. Yes, go ahead.
Richard Jaffe: No, that’s fantastic. I mean, that’s the person you want to talk to all the time.
Andy Hall: Exactly. So what we are doing in. So what I found is and what Amy has found our new Chief Marketing Officer, who started a couple of weeks before I did and is doing a tremendous job here is what we found is that we had all these coupons out there that would have basically daily coupons hanging around and a lot of those are deflationary in sales, because this couponing that we don't need to have. So we’re trying to tighten up on the windows of the few sponsors. There is periods of times when we need to be promotional and use those around the gift-giving events. But in between those events, we probably in the past wasted some markdowns that didn’t drive traffic. So we’re trying to pull those back. And so that we can take advantage of the loyalty guest and make sure that we’re spending appropriate marketing dollars on the ones that’s driving -- those that are driving our business. So we’re excited about it. There is a lot of aspects of the marketing program that are changing. We are able to get some of those changes in for November and December, which we’re excited about. The other aspect that we brought to the marketing department that really has never been there is metrics and analyzing our events and the tools that we’re using to figure out which ones work and which ones aren’t working. So Amy has brought some great disciplines from an analytics standpoint into the department, that’s been exciting as well.
Richard Jaffe: That’s great. Thank you.
Andy Hall: Sure.
Operator: And at this time, I will turn the call back to speakers for any additional or closing remarks.
Andy Hall: Great. Thank you, Shannon. On behalf of the entire management team and our 5000-plus associates in our stores, distribution centers, and corporate office we want to thank you for your continued interest and support of the company. We are excited about our prospects and hopefully you are as well. And please accept our very best wishes for a happy, healthy, and, most importantly, safe holiday season. Thanks for being with us today.
Operator: And that does conclude today’s conference. Thank you for your participation.